Operator: Welcome to the Tessera fourth quarter conference call. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will hold a Q&A session. (Operator Instructions) As a reminder, this conference is being recorded today, January 31, 2008. I would now like to turn the conference over to Moriah Shilton. Please go ahead, ma'am.
Moriah Shilton: Thank you, Karen, and good afternoon, everyone. Thank you for joining us for the Tessera Technologies fourth quarter 2007 results conference call. By now, you should have received a copy of the press release. If you have not, please contact Lippert/Heilshorn & Associates at 415-433-3777 and we will forward a copy to you. This call is being broadcast live over the Internet. A webcast replay will be available at tessera.com for 90 days after the call. In addition, a telephone replay of this call will be made available for 48 hours beginning approximately two hours after the conclusion of this call. To listen to the replay in the US, please dial 800-642-1687, and internationally, dial 706-645-9291. The access code is 30192448 I will now read a short safe harbor statement. During the course of this conference call, management may make projections or other forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks and uncertainties that could cause actual results to differ significantly from those projected. You are cautioned not to place undue reliance on the forward-looking statements, which speak only as of the date of this release. A detailed discussion of the material factors that may cause results to differ from the statements made can be found, for example, in the Risk Factors sections of Tessera's filings with the Securities and Exchange Commission, including its annual report on Form 10-K for the year ended December 31, 2006 and its quarterly report on Form 10-Q for the quarter ended September 30, 2007. On the call today from management are Bruce McWilliams, Tessera's Chairman, President and Chief Executive Officer, and Charlie Webster, Chief Financial Officer. During this call today, management will discuss certain non-GAAP financial measures for comparison purposes only, and they will be using non-GAAP numbers in their prepared remarks. The non-GAAP amounts of cost of revenues; research and development; selling, general and administrative expenses; net income; and earnings per share do not include three items: stock-based compensation, deal amortization charges and non-cash tax expense. Tessera includes only actual cash taxes in its non-GAAP results because the company does not currently pay federal or state income taxes and not expect to do so until sometime in 2008. Management believes the non-GAAP amounts provide a more meaningful comparison measure of quarter-over-quarter and year-over-year financial performance. Please refer to the company's fourth quarter 2007 earnings press release and to the company's website for reconciliation of non-GAAP measures to GAAP. After management's opening remarks, we will open the call to your questions. So that management is able to respond to as many of you as possible, please restrict yourself to an opening and a follow-on question. Please re-enter the queue if you have additional questions. And with that, I'll turn the call over to Bruce.
Bruce McWilliams: Thank you, Moriah. 2007 was a tremendous year for Tessera. Total revenues for the year were a $195.7 million including royalties and licenses fees of $158.9 million, the 60% increase compared to 2006. The results extend our four year compounded annual growth and royalties and licenses to 58%. As these results suggest, the fourth quarter 2007 was also strong. Total revenue was $53 million including royalties and license fees of $46 million, which were up 10% sequentially and 31% over last year's fourth quarter. And at the year-end, we had approximately $290 million in cash and short-term investments, up approximately $100 million from the end of 2006 with no debt. We're equally proud of our accomplishments in our advanced packaging and interconnect business in 2007 with significant unit and market share growth as well as new technology introductions. For 2008, we see the potential for substantial market share gains through our enforcement efforts. We also expect to grow a new market as a result of a broader portfolio of packaging and interconnect technologies. Now, let me provide more detail on our business areas. In our advanced packaging and interconnect business, we are making exciting progress in our development programs and believe we are well position to benefit from broad industry trends. Our core chip-scale packaging licensing business continues to experience solid growth. In the DRAM segment, rapid adoption of DDR2 and growing consumer demand for increased memory continues to drive above average growth near-term. While the industry's transition to higher memory content per chip increases, we remain bullish about long-term unit growth. In wireless and communication products, we also see continued unit based growth in devices using chip-scale packaging. The miniaturization and integration enabled by Tessera Technology is a key differentiator for many wireless products. One notable trend is the continued increase in I/O count for baseband and applications processors creating a growing need for a higher performance packaging solution. Another trend is the greater demand for system and package solutions. These trends are an opportunity to provide greater value to the industry and Tessera believes the use of its MicroPILR interconnect technology has the potential to address both of them. In our enforcement efforts, we are less than four weeks from the hearing in the International Trade Commission, in which the ITC is investigating, what we believe is patent infringement by a number of companies in the semiconductor industry. This case remains on schedule with the hearing to run for five days beginning February 25th, in addition it is roughly eight weeks when we'll have a hearing in the binding arbitration action in Northern California against EMCORE. As you may know, we have also filed a complaint in the ITC against unlicensed DRAM manufacturers, who currently represent 20% to 25% of the DRAM industry. On January 3, 2008, that ITC accepted our request and initiated an investigation into the matter. Last week, the ITC assigned a case management timeline, which indicates that we will have a trial in September of 2008. These are all significant cases for Tessera and demonstrate our unwavering commitment to defend our intellectual property and ensure fair dealings in the industry as it licenses and benefits from Tessera's high innovated chip-scale packaging technology. In the ITC actions, we are seeking an exclusion order barring the importation of products that we believe infringe our technology and are unlawfully competing with products from our licensees. We are confident in the strength of our intellectual property and we are pleased that our enforcement actions are proceeding on such a rapid pace. We expect the first of the ITC actions in the EMCORE arbitration will be completed in the first half of the year. We are likely to have an initial determination in the DRAM related ITC action by year-end. We are successful, we believe we will meet or likely exceed our goal of licensee more than 80% of the devices that use our CSP technology. Now turning to our Consumer Optics business, as announced to date, we have signed a definitive agreement to acquire FotoNation, a leading technology licensing business of an image-enhancement technology for digital still cameras and mobile phones. Founded in 1977 FotoNation has roughly 170 patents and applications. The transaction is for $29 million of net cash and up to $10 million in additional consideration contingent on certain milestones. FotoNation has a powerful range of image enhancements technologies to our smart optic portfolio including redeye reduction, face tracking and feature recognition. With these new technologies we will be able to offer our camera phone customers even more solutions that enabled them to further differentiate and add value to their products. With our current technologies and greater resources, Tessera will be able to add greater value to FotoNation's current digital still camera and have the potential mobile camera phone customer base. FotoNation technology is found today in two out of three digital still cameras sold. We expect to drive their technology, which includes redeye removal, face tracking and blink detection in to high-end mobile phone cameras. Long-term, we believe, we will have success moving these technologies into the much bigger market of camera phones, as well as in our new markets such as printers, PCs, toys, automotive and security. FotoNation success as an IT licensing business validates our business model in this dynamic area. By offering an expanded portfolio of camera phone solutions Tessera's value proposition in the industry is now greatly increased. Companies can come to Tessera and get as robust a solution as fits their needs on a single platform that makes the technology easier to use. Thus we are able to generate greater royalties per phone. We expect a combination of the two companies' solutions to first appear in traditional camera phone modules and work up towards our OptiML Wafer-Level Camera technology offering. Over the fourth quarter, we made solid progress in several other areas as well. On June 16th, we announced that Nemotek became the first company to offer both our OptiML Wafer-Level Camera solution and SHELLCASE Wafer-Level Packaging technology. Being vertically integrated on Tessera's wafer-level camera technology, Nemotek will be able to provide a complete solution starting with image sensor wafers and ending with complete camera modules based on Tessera's water-level technology. They have begun construction of their wafer fabrication facility and expect to be in high volume production in the first quarter of 2009. In December 2007, we announced the Toshiba have licensed our OptiML Focus technology for auto-focus capabilities, and we expect this technology in mobile phones during the second half of 2008. We are also working with other Tier-1 suppliers on this technology. Now I'd like to turn the call over to Charlie for discussion on the 2007 financials and the first half of 2008 guidance.
Charlie Webster: Thank your, Bruce. Let me first remind you that Tessera's non-GAAP results do not include stock-based compensation, deal amortization charges and non cash tax expense. We include only actual taxes in our non-GAAP results because we do not currently pay federal of state income taxes and do not expect to until some time in 2008. To help you better understand our results we have included a detail reconciliation between our GAAP and non GAAP numbers in our earnings release and on our website. Now turning to the fourth quarter results, let me take you through the details. Fourth quarter total revenues were $53.0 million up 8% sequentially and 6% year-over-year. Q4 '07 royalties and licenses were $45.5 million, up 10% over the previous quarter and 31% year-over-year. As Bruce mentioned, the main driver of CSP unit growth remains DRAM and its specific DDR2. In our Wireless and Communication segment we also saw strong unit shipments from our customers in this September quarter which is our Q4 as we recognize revenues one quarter in arrears. Also included in our royalties are revenues from out optics business including SHELLCASE image censor packaging. SHELLCASE royalties grew rapidly quarter-over-quarter and have increased more than 60% over 2006, driven by strong image censor shipment volumes and share gains as CSP image censor packaging has been gaining share from chip on board. We expect this trend to continue as the industry migrates to higher pixel count image censors. Products and services revenue for the quarter was 7.5 million driven by improves shipments of Micro-Optics to the photolithography industry. Now, let me review expenses. Total GAAP operating expenses which is a reminder include cost of revenue were at 36.9 million including stock-based compensation expense of 4.9 million and non-cash deal amortization of approximately 1.9 million. Subtracting these non-cash items total non GAAP operating expenses was 30.2 million, total non-GAAP expenses were up just over 5 million from the September quarter, but up roughly 2 million above our guidance range of 27.5 million to 28 million. This variance is due principally to increase litigation expense during the quarter. As you know, we are in a very active phase of our litigation activity with trial for the ITC wireless action and EMCORE to be held on February 25 and March 31, respectively. On a non-GAAP basis, total cost to revenues was 2.9 million, up slightly from the third quarter on higher products and services revenue. On a non-GAAP basis, R&D was 8.4 million, up approximately 500,000 from the third quarter, and in SG&A non-GAAP expense was 10.7 million, up 1.5 million from the September quarter, due principally to year end expenses and slightly higher expenses associated with our compliance audit program. Litigation expense was 8.2 million; interest income was approximately 3.3 million, reflecting our growing cash balance during the period. Cash taxes were 1.1 million lower than expected due mainly to slightly lower than expected foreign withholding taxes. Non-cash GAAP taxes were 6.4 million or approximately 33% of taxable GAAP income. This decrease from the prior quarter is attributable to quarterly timing difference affecting our international revenue and expense. Our GAAP tax rate for 2007, however, is in line with or expectations of 42% to 43%. With these results, Q4 ‘07 GAAP EPS was $0.27 and non-GAAP EPS was $0.51 each on a fully diluted weighted average share count of 48.8 million and 49.6 million shares respectively. Cash flow from operations was 22 million or 42% of revenue. We were not active during the quarter on our stock repurchase program as a result of volatility in the broader equity markets. On December 31st, we held roughly $290 million in cash and investments and no debt. Now let me turn to guidance. As you know historically Tessera has guided for the upcoming full year on this earnings call. In 2008, however, at the time of the earnings call, we are just weeks away from significant legal rulings in the both the ITC and our action with EMCORE quarter, the successful resolution of which, could result in significant higher royalties and license fees and past production payments in the second half of 2008. Therefore, we are providing guidance for the first two quarters of 2008 only. Before I turn to quarterly guidance, I would like to discuss the future financial impact, we believe, the recently announced FotoNation acquisition will have on Tessera based on information known to-date. We expect that the FotoNation acquisition will be neutral to $0.01 or $0.02 dilutive to non-GAAP earnings for the full year 2008 and accretive thereafter. While revenues will not be material to Tessera near-term, we are confident FotoNation will contribute meaningfully to our long-term Consumer Optics, royalties and licenses fees. In the first quarter of 2008, as a result of the FotoNation acquisition, we anticipate recording a non-cash charge to GAAP earnings for in-process research and development. A charge for in-process R&D would also cause our GAAP tax rate to rise during the quarter. Neither would affect our cash flow or non-GAAP earnings. Q1 '08 total revenues are forecast to be $55 million to $57 million. Revenues projected to include royalties and license fees of $47 million to $49 million and products and services are expected to be approximately $8 million. Please note, per company policy, these estimates did not include any revenues from licenses, settlements or royalties from the parties currently involved in our legal actions. We expect to see significant results from these efforts, but we do not feel it is advisable to predict their timing or magnitude. On a non-GAAP basis, total expenses excluding litigation but including expenses that we expect to incur as a result of the FotoNation acquisition are targeted at $25.5 million. As you know, litigation expense is very difficult to predict and depends in large part on the other parties in our legal actions. Early 2008 it will be particularly active period of our legal actions with two trials and another ITC action well underway. As a result, we are guiding a very wide range of $10 million to $15 million in the first quarter. I'd like to note that historically, payments for past production from settlements in our legal actions have greatly exceeded the cost of our enforcement and if successful in our current litigation efforts we have no reason to believe that this will not occur again. In the first quarter, we expect stock-based compensation to be approximately $5 million and deal amortization charges to be roughly $2.5 million. The company's book tax rate is projected to be 43% of pre-tax profit, although as I noted earlier, it could be higher if we record a charge as expected for in-process R&D. Cash taxes for our non-GAAP results are expected to be approximately $3.3 million in the first quarter, and fully diluted shares are projected to be $50 million. For the second quarter of 2008, we are projecting total revenues of $53 million to $55 million. These include royalties and licenses of $46 million to $48 million. Non-GAAP operating expenses excluding litigation, but including expenses that we expect to incur as a result of the FotoNation acquisition should be $27 million to $27.5 million. Once again, litigation expenses are very difficult to predict and we are therefore guiding a large range of $6 million to $10 million. Cash taxes should be approximately $3 million. GAAP taxes should be approximately 43%. The fully diluted share count is expected to be 50.2 million shares. Now, let me turn the call back to Bruce.
Bruce McWilliams: Thank you, Charlie. Consumers today are making their mobile electronic purchasing decisions based upon features, such as the form factor of the device. For example, people like thinner products, user interface, the keyboard and camera capabilities. Increasingly what enables these features is what we call off-chip electronics. Tessera provides leading off-chip electronics technology, as simplified by our product portfolio, from our recently enhanced Consumer Optics product offerings to our industry proving packaging interconnect solutions. Our Consumer Optics business continues to gain market share. With FotoNation the fourth element of our consumer imaging technologies, we feel we are firmly on course to exceed a $100 million in Consumer Optics revenue by 2010 and continue with high growth for many years beyond in this segment of our business. Our Advanced Packaging business remains solid and has the potential for significant market share gains in both wireless and DRAM through our enforcement efforts this year. As a result, we are confident that 2008 is going to be a very strong year for Tessera's growth both in our core business of chip-scale packaging and in our new Consumer Optics business. I would now like to open the call for your questions.
Operator: (Operator Instruction) Your first question comes from the line of Brett Hodess of Merrill Lynch.
Brett Hodess - Merrill Lynch: Good afternoon. My question first is, when you look at the different 2Q revenues, is that just reflecting the normal seasonal pattern that we see relative to some of the consumer part of your business. And following on that, Charlie if you could also talk about, given that you might get a resolution to the ITC DRAM case by year end as you mentioned, what you might think about, what we should model for litigation expenses in the second half of the year?
Charlie Webster: Sure, Brett. On the first question, yeah, we are seeing the typical seasonal pattern in the Q2 revenues. Our Q4 '07 revenues were a bit stronger than we expected and we are feeling very good in the Q1, thanks to wireless. And that is, it is quite normal as you are well aware for wireless to step down in their first quarter, which is our second quarter. On litigation expense, we are just not able at this time to provide any more guidance, as I mentioned in my comments. We are providing a very wide range. What I know, you know, but I'll restate it. What we feel very, very confident about the strength of our IP and the merits of our case. As you know, we have been litigating this same family of patents for seven years and we are literally just weeks away from two major cases. So that's our focus.
Brett Hodess - Merrill Lynch: Very good. Thank you.
Operator: Your next question comes from the line of Raj Seth with Cowen and Company.
Raj Seth - Cowen and Company: Hi, thanks. Charlie, real quickly, can you review the time table of the ITC case. The hearing is five days. How long does it take for the Administrative Law Judge to make a recommendation etcetera? Can you go through that briefly? And Bruce can you touch a little bit on some of new products you mentioned MicroPILR etcetera, what's happening there? What will drive adoption and if you can talk a little bit about when you might expect to see some of the new packaging products there adopted by your customer base?
Charlie Webster: Raj, let me take the first one. So, the ITC case is scheduled for February 25th, it's a very fast proceeding I understand its five days or so. We understand that typically, the administrative law Judge has 30 to 60 days to issue a ruling. Obviously we are not legal experts and can't comment in any great detail on various scenarios after that. But we think, it's likely within 30, 60 days we have a definitive ruling. Bruce, do you want to address the MicroPILR issue.
Bruce McWilliams: Sure, we are working with a number of companies in MicroPILR. Really two drivers, I should say three. One is that, it's much better than solder balls on drop test and so we have a lot of interest and its use in mobile phones to eliminate the need for underfill. The second area is Package-on-Package. It allows versus say something like through the each part to be individually tested, solving sort of the known good die problem being on very fine pitch. It allows a lot of connections in the vertical direction and it's a very thin package. So, you can put several parts in a package. The other technology underdevelopment is actually a wafer stacking approach with reconstituted chips for NAND flash. So, again there are number people who have a lot of interest. The timing for mass production I don't think you will see that this year. We hope you will see that next year. Part of the difficulties it takes time to get all the infrastructure and calls done. But we feel pretty confident that this will be a very good follow-on technology for our current CSP, particularly in the next decade.
Raj Seth - Cowen and Company: If I could sneak one more, Bruce and Bruce you are obviously optimistic about legal given president. I know that there have been some mandated at meetings with many of the defendants in recent weeks, is there any comment you can make about these conversations and whether or not any of your optimism is driven by any movement and sort of negotiations that are going on with a variety of people without identifying, who it is. Is there anything you can say about sort of progress you might be making as we have of course.
Bruce McWilliams: I would love to say Tony, but I was instructed by my attorneys before this call not to say a thing. So anyway you can imagine with the trial coming up that saying anything is a, is not really in our best interest.
Raj Seth - Cowen and Company: Okay. I got, I thought a try. Thank you.
Bruce McWilliams: Thank you.
Operator: Your next question comes from the line of Jesse Pichel with Piper Jaffray.
Jesse Pichel - Piper Jaffray: Hi, good afternoon. Bruce, can you share with us the magnitude of damages you are seeking for EMCORE and ITC defendants or is that also?
Bruce McWilliams: That actually is also something that we are not allow to share, in fact a lot of these numbers are under the protect of order and I don't actually even see them, but you can read some of our customers disclosures in.
Jesse Pichel - Piper Jaffray: That's correct.
Bruce McWilliams: And see what their disclosing their potential liability might be. I'm not saying that those are correct, but I don't want to comment on it.
Jesse Pichel - Piper Jaffray: Got you.
Bruce McWilliams: You can do your own kind of back of the envelope estimates the size of these guys and number of years that they have been using and make your best guess.
Charlie Webster: Jesse, I'll just add to that, as I know you are aware that in the DRAM space, we believe it roughly 25% of the industry is not yet licensed. So that's upside potential for us and then the wireless communications space, we think our market share is only around 35%. So, those numbers could both increase very significantly.
Jesse Pichel - Piper Jaffray: Right agree it. I'd like to gauge your degree of confidence in your Q1 guidance by asking half of the majority of the royalty reports coming for Q1.
Bruce McWilliams: Well, a number of big ones them, but many of them occur over the next month. But historically, we’ve actually been very, very good I think you can check our guidance. So, I think the one thing we can predict well our additional settlement and so we don't put those in there And the reason we feel pretty confident about these forecast is we of course listen to the earnings releases. We do our call little later. So, we have some visibility on, if there is anything in our customer support quarter that we should note. And the other thing is we have such a diverse space of customers, I think something like 30 or something. So, we do see fluctuations between them, but usually one guy goes up a bit and the other one goes down and so historically we have been able to do very well with the guidance. So, I think we feel very confident about these numbers.
Charlie Webster: I would add briefly, we think we will one customer in the fourth quarter over 10% of revenues and obviously as Bruce mentioned, royalties and licenses were up 60%. So, the businesses, is not only growing rapidly, but its diversifying and we have multiple drivers of growth. And so that gives us again more confidence about our guidance forecast.
Jesse Pichel - Piper Jaffray: There was some investor concerned a quarter or so ago that, one of your licensees would be stepping down in the royalty per unit based on volume discount and I'm wondering we through that period yet or is that to come later in '08
Charlie Webster: We haven't as I know, you know noticed for a long time, we ever provided specific details on individual customer contracts as those are bound by confidentiality agreements. But what we are seeing now is again strong performance even that significantly increased royalties across the entire business and when we look out into 2008 of course we just guided the first half those are very strong numbers.
Bruce McWilliams: Yeah and we given you guys both first quarter and second quarter and…
Jesse Pichel - Piper Jaffray: Presumably if there were a step down it would be reflected in those numbers.
Bruce McWilliams: Yes.
Jesse Pichel - Piper Jaffray: Okay. So that's good to see the reassurance, thank you. And my last question is FotoNation, you mentioned it already has quite a high market share of PSCs, but it's not material to revenue. So, I'm wondering is the strategy to make that royalty significant or is it strategy is would be bundling solution for other?
Bruce McWilliams: Well, yeah. Let me talk about that. So, one is this transactions coming in the middle of the first quarter and of course their purchase accounting rules. But it is sizeable operation 80 people and as we said it's on a cash basis neutral. Now, we wouldn't bother with this, it was just a digital still camera market. But in our discussions with OEMs, people want to start adding this like FaceTracker, even in the high end phones, redeye removal, a bunch of different features. This technology also allows us to start doing very interesting kinds of corrections in the optics make cameras cheaper. But the nice thing about the mobile phone market is that ten times the size of the digital still camera market. The beauty of this acquisition is, we can have all this R&D and effort and not be drain on our earnings. Yet broadened out of product portfolio and by having all these features together the amount of art -- the amount of devices it's much more efficient for us to deliver this with the auto-focus and zoom or other features altogether. Then these guys bind each tool and piece and having the integrated together. So, but we are very bullish about this and I think if you talk to the OEMs you will find out in their camera phones they want to add these kinds of features.
Jesse Pichel - Piper Jaffray: Understood, thank you very much and good luck with the hearings.
Bruce McWilliams: Thanks.
Operator: Your next question comes from the line of CJ Muse with Lehman Brothers.
CJ Muse - Lehman Brothers: Yeah, good afternoon. Couple questions here I guess, first off on the June royalty guide. I would have thought that that would have been maybe a little bit worsen and due to seasonal trends both handsets and DRAM and so I guess the question is, are you seeing a step-up in contribution from Digital Optics, in that line item?
Bruce McWilliams: No. Again the unit growth is strong in our business, so most of that is not related to our Consumer Optics business.
Charlie Webster: CJ, excuse me. Just a clarification, you're asking about the products and services line?
CJ Muse - Lehman Brothers: No, royalty and license.
Charlie Webster: So, then actually Bruce is absolutely correct. We are running the Micro-Optics business that serves the lithography industry through product and services lines.
CJ Muse - Lehman Brothers: Even royalties?
Charlie Webster: Royalties coming off of, say wafer-label lens are absolutely coming though the royalties and licenses line, that's correct. And you know that we signed up Alps earlier this year and that is progressing extremely well on a BGA development program that we expect to be in high volume manufacturing. And that's going very well, but the royalties in this side of the business, as we've repeatedly and I think consistently said are going to get much more material toward the second half of 2008.
CJ Muse - Lehman Brothers: Okay. And then on a Consumer Optics side, can you provide some sort of framework for how to think about revenues for 2008 presumably along the service line?
Bruce McWilliams: We are not breaking that out individually, but the bulk of our products business is in that area and that's a piece of it. With FotoNation we're not breaking it out, but I think you can kind of look at the headcount we have there and the revenue and can get a piece and that's all license and royalties really. We're very pleased with the SHELLCASE technologies that's growing rapidly and approaching doubling and the wafer-level optics, we're getting some licenses fees, but that's not huge. But we expect that to start becoming material next year and as this business gets a little further long we will probably start to break things out, but we don't think its time to do that yet. Its too granular event driven at this time, but as its gets really going then we're going to probably do something like that.
Charlie Webster: I'd just that FotoNation is going to contribute even more and that's strengthens the argument to provide more visibility probably in 2009. But we're very, very excited about the traction we're getting in the Consumer Optics base, we're obviously adding to with FotoNation.
CJ Muse - Lehman Brothers: Okay, and last question from me. Have you signed up licensees for your MicroPILR technology?
Bruce McWilliams: Actually the way that works is it runs through our existing TCC business and we're working with some of those, the way to really think about is its a follow-on of our chip-scale packaging business that extends it's life and keeps enables people to stay with that technology in the next decade, that’s our primary purpose. Now we also get royalty streams through the substrate side and we do have a license here or two there so, but that's a different channel.
CJ Muse - Lehman Brothers: Got you, thank you.
Operator: Your next question comes from the line of Kevin Vassily with Pacific Crest Securities.
Kevin Vassily - Pacific Crest Securities: Yeah. Thanks for taking some questions. Let me start with the Nemotek we want you to get share a little bit more about these guys, who they are, who they are planning to work with or if they are already working with people, why a mobile solution company, your mobile products company were chose to work with them versus the other traditional or more established module makers, you maybe announcing around the licensee because you feel there is a -- brings the markets that others aren't bringing as far as your technologies?
Bruce McWilliams: I will take that question. So maybe most people probably don't know in Morocco there are over 4,000 people in chip assembly. There are some large plants there. I'm bullish about the area, we have actually been training their engineers and we found them to be more skilled than similar ones we've had from China. We like the environment there because people are very stable in their jobs and low wage inflation and it's competitive with places like India and China and cost.
, : Now, what we do have, we believe some additional big players that will come on Board and they were optimistic. You will see some other mainstream players in the first half of the year. Now, what we do have, we believe some additional big players that will come on Board and they were optimistic. You will see some other mainstream players in the first half of the year.
Kevin Vassily - Pacific Crest Securities: When you say mainstream players, the mainstream?
Bruce McWilliams: The large multi-billion dollar companies that are in the segment.
Kevin Vassily - Pacific Crest Securities: Okay. In the module segment, okay. And then me kind of shift case it to a little bit to another licensee for the OptiML Focus Technology Toshiba, what if were to describe kind of the end product that they are producing, is this going to be their version of wafer-based fully integrated module solution or they using your OptiML Focus in conjunction with more conventional technology?
Bruce McWilliams: Yeah. This technology is a in a conventional 3 megapixel camera. The are things are changes the lens designed is changed and in the electronic logic and firmware go and so it will be a very high volume product. And it will be a First Tier OEM and it's our understanding that it will likely also be in pixel counts higher than 3 megapixel camera follow-on versions. So, we love the fact that we can enter into the market without having to wait for the infrastructure to be built out for wafer-level. We do believe long-term, most of the mobile phone cameras will be eventually made in wafer-level technology because of size and cost reduction is possible.
Kevin Vassily - Pacific Crest Securities: Right.
Bruce McWilliams: And then for the high-end cameras, those parts don't have any -- those kinds of cameras don't have any moving parts. You will have to go to this kind of technology for features like auto-focus.
Kevin Vassily - Pacific Crest Securities: Okay. Thank you.
Operator: Your next question comes from the line of Arnab Chanda with Deutsche Bank.
Arnab Chanda - Deutsche Bank: Thank you. A couple questions, Charlie if you could talk a little bit about the operating expense guidance, it seems like there is a significant increase in expenses exactly are there some non-cash items that are listed in the or GAAP items that are listed in the OpEx guidance and I have a go fast. Thanks.
Charlie Webster: Sure, Arnab you are referring to the $25.5 million OpEx excluding litigation for Q1 '08?
Arnab Chanda - Deutsche Bank: Exactly.
Charlie Webster: Yeah, that's up a little bit more than you would have expected because of the acquisition of the FotoNation. There are some one-time aspects of that, but generally we are taking on, as we've said about 80 people, most of whom are technologist and doing R&D on some pretty exciting areas of optics. As we add them in -- they are going to contribute to growing commitments that Tessera has to drive close to 18, 19, 20% of revenues in to our R&D. And though we don't see real near-term material revenue contribution we're very bullish about the medium-term and long-term as Bruce mentioned earlier.
Arnab Chanda - Deutsche Bank: Okay, great. Couple of a lot of questions on the litigation, one question litigation, you said that there was in the next six months you've given us litigation guidance that its typical to predict beyond that. Are you expecting a conclusion of the three cases or the two cases that you're talking about, in the first half of the year and therefore beyond that there won't be much litigation or could you talk about that a little bit?
Charlie Webster: As Bruce has mentioned we're in such a sensitive time here with literally weeks to go before such a major trials. We're very constrained and what we can say, we're very bullish about discussions underway and the progress that we are seeing. And obviously very confident given the fact base not only our success in the ITC, but in many other for as well with the same family patents. Long term we can absolutely answer the question, we see litigation dropping, as a portion of our spending, our cost base, but we're not able to at this point to guide a specific reduction. What we're able to do is, commit to our shareholders, our customers that we're going to win and we're going to defend our IP.
Arnab Chanda - Deutsche Bank: Thanks, Charlie. And then quick question, maybe for Bruce, if you look at your sort of business items, you have traditional CSP business, MicroPILR you're saying its more '09 and beyond and digital optics, which is probably just on the cost for contributing. If you excluded the new products and new businesses what do you think is your expectation of the unit growth rate of your traditional CSP business? Thank you.
Bruce McWilliams: The unit base growth of the CSP business, where we have seen a lot of the conversion already happened in DDR2. I think again though there is still more to come, we will have modally good growth in DRAM and in the wireless segment that's going to scale more like mobile phones, as a whole. So, I think you said as a good metric. The big growth in Tessera, we believe will come through great market share gains. And we are particularly excited about wireless because there are a lot more pins and that's royalties per chip should be significantly higher and likewise the DRAM market share gains that we believe are possible should be substantial. So, as what we said a couple of times, we think this could be one of our best years ever for growth and remain bullish on '09 and '10, as our new businesses that's whether real growth is going to come in. The other businesses should over time more scale like the industry maybe a little bit better because pin counts historically rise faster than units or sales.
Arnab Chanda - Deutsche Bank: So, I just so that I'm clear were you suggesting that your CSP business should go faster than your end market because one pin counts arisen, two the you're content when those products will rise also, is that fair to say?
Bruce McWilliams: Yeah. It should the revenue per chip in the wireless segment should be faster than the unit growth rate. But, if you wanted to be conservative so the unit growth rates for all of our major markets. Yeah, another factor I think it will be important in '09 and '010 is more and more NAND is expected to be in CSP.
Arnab Chanda - Deutsche Bank: Thank you very much Bruce. Thanks Charlie.
Charlie Webster: Thanks, Arnab.
Operator: Your next question comes from the line of Bennett Notman with Davenport.
Bennett Notman - Davenport: My questions have been asked and answered. Thank you.
Bruce McWilliams: Thank, Bennett.
Operator: Your next question comes from Mehdi Hosseini with FBR.
Mehdi Hosseini - FBR: Yes, thank you for taking my question. Bruce, if I'm adding up the numbers right. Over the past several years, you have been making a number of acquisition maybe your expense around $100 million and it seems to me that, it is still going to take maybe another year or so to see the material impact or contribution to the top line. But what I want to ask you is, is this the right way of thinking about your revenue diversification and to that extent, how long would you expect the material contribution to pay off for the investment for the acquisitions that you have done? And how should we think about the mix semiconductor versus non-semi, which is Consumer Optics? I do understand that some of peers have been asking about units of semiconductor growth and so forth, but I think it would dramatically help us on the other hand, if there was a way for us to quantify these two different streams of revenue? Thank you.
Bruce McWilliams: Yeah, okay. If we add in FotoNation to total cash, we spent is about $140 million and maybe the $150 million if all the milestones are met. I'm actually very pleased with it because already the cash generated from the positive cash flow in those companies is better than 20 times probably closer to 15 times cash flow from those. So it's already a nice profitable business, but what particularly pleasing about it is most all of the people are working in future products. They are getting to royalties either high margin products or that are mature or royalties and licenses fees. So, having this 150, I guess 200 people working on our next segment, being more than paid, but our revenues allows us to do a lot of R&D and not hurt the underlying financial performance for the business. Now, with the whole cluster of technologies from FaceTracker to redeye to OptiML Focus to Wafer-Level Camera to image sensor package, I believe we will drive long-term north maybe significantly north of 20 sensor camera. Because we are licensing not only optics but RTL and packaging, so the whole cluster together and it's a very big market. It's a billion cameras now, how long it takes us to penetrate and what penetration we get is unclear, but we can put together what we believe is a reasonable bottoms our plan that makes us feel confident about our ability to get to $100 million and the revenue from this collection of businesses in 2010. And because the market is so much bigger, now we think we can have fast growth in the first half of the next decade. So, we believe this business long-term it can be as big as our underlying core business and we will greatly diversify the business.
Mehdi Hosseini - FBR: So, at least in the next 12 to 24 month, we shouldn’t be too concerned about the recurring royalty revenue and to the large extent it's going to be maybe as much as 90% semiconductor driven?
Bruce McWilliams: Mehdi, could you speak up after a touch, we're having a little trouble hearing you?
Mehdi Hosseini - FBR: So, to the extent that is going to take several years for this investments to get you on a run rate of $100 million of revenue opportunities from non-semiconductor industry, would it be fair to say that your licensing revenues over the next one to two years is going to be driven for the most part maybe 90% of it, is going to be driven by this semiconductor industry and that those are the kind of units that we need to build into our model?
Bruce McWilliams: You're talking about the Consumer Optics business?
Mehdi Hosseini - FBR: No.
Bruce McWilliams: Oh no. Okay our base business. Yeah, the two separate businesses, the Base business is much bigger than the Consumer Optics business, but actually interestingly enough the Consumer Optics business is already as big as Tessera was when it went public and just about as profitable and not quite, but and we think it has the potential similar trajectory. But our Base business, we think we have another year or so of spectacular growth, the possibility of it least, but eventually we are saturated in our markets there and that's the importance of this Consumer Optics business. We are pleased with how it's coming together and we think the composite of the businesses will result in good growth long-term. We don't think we can continue to deliver 50% to 60% growth per year obviously, but we think we are going to get very good growth and we see how we can scale our businesses even beyond Consumer Optics. Because the licensing model in the space we are in, off-chip electronic seems to be very appealing because the companies in these spaces don't have the dollars to invest in long-term R&D and the OEMs they like de facto standards they like, again I'll get the same thing from multiple sources and we believe our model works very well for that reason. So we have the support of the OEMs with this model and we are generally very bullish about the business in the next few years and I believe myself the businesses scale will beyond where we were at.
Charlie Webster: Mehdi, if I could add just one comment. '08 were absolutely tracking to our milestones and building up the business in fact in a couple cases like the OptiML Focus we are head. I think '09 is going to be a year, where it's very material to the overall business and I want to make sure everybody is aware of that. We don't see the same litigation dimension. So, while I know your question was about royalties, if you look at the bottom line contribution. The optic side, I think it's going to be very exciting in 2009 and ramping even further in a 2010. Our longer-term ambition is to have several different businesses are providing the same diversification and growth benefits that we have just experienced in Q4 '07 and in the Q1 '08.
Mehdi Hosseini - FBR: Got you. Thank you.
Operator: There are no further questions at this time. Please proceed with you presentation or any closing remarks.
Bruce McWilliams: Well, thank you everybody and we look forward to either seeing some of you out on the road or on our next earnings call. Thank you very much.
Operator: Ladies and gentlemen that concludes your conference call for today. We thank you for your participation and I ask you please disconnect your lines.